Operator: Good day and thank you for standing by. Welcome to Weibo Third Quarter 2021 Financial Results Conference Call. At this time, all participants are in listen only mode. After the speaker's presentation there will be a question-and-answer session.   Pleased be advised that today's conference is being recorded.  And now I'd like to turn the conference over to the management team of Weibo. Thank you. Please go ahead.
Interpreter: Thank you, Operator. Welcome to Weibo's Third Quarter 2021 Earnings conference call. Joining our call today, our Chief Executive Officer, Gaofei Wang, and our Chief Financial Officer, Fei Cao. The conference call is also being broadcast on the Internet, and is available through Weibo's IR website. Before management remarks, I will actually read you the Safe Harbor statement in connection with today's conference call.  During today's conference call, we may make forward-looking statements, statements that are not historical facts, including statements of beliefs and expectations. Forward-looking statements involve inherent risks and uncertainties. A number of important factors could cause actual results to differ materially from those contained in any forward-looking statements. We'll assume no obligation to update the forward-looking statements in this conference call and elsewhere. Further information regarding this and other risks is included in Weibo's annual report on Form 20-S, and other filings with the SEC. All the information provided in this press release, is occurring as of the date hereof.  We will assume no obligation to update such information, except as required under applicable law. Additionally, I would like to remind you that our discussion today includes certain non-GAAP measures, which excludes stock-based compensation and certain other expenses. We use non-GAAP financial measures to gain a better understanding of Weibo's comparative operating performance and future prospects. Our non-GAAP financials exclude certain expenses, gains or losses and other items that are not expected to result in future cash payments, or are non-recurring in nature, are not indicative of our core operating results and outlook. Please refer to our press release for more information about our non-GAAP measures. Following management prepared remarks, we will open up the lines for a brief Q&A session. With this I would like to turn the call over to our CEO Gaofei Wang.
Gaofei Wang: 
Interpreter: Thank you. Hello, everyone. And welcome to Weibo's third quarter 2021 earnings conference call.
Gaofei Wang: 
Interpreter: On today's call, I will share with you highlights in Weibo's user products, and monetization in the third quarter of 2021.
Gaofei Wang: 
Interpreter: On the user front, Weibo's MAUs rates 573 million and average DAU reached 248 million in September 2021, adding approximately 62 million and 23 million user’s year-over-year respectively, which represented the highest level of registration number, among the recent 6 quarters. In September, 94% of Weibo's MAUs came from mobile.
Gaofei Wang: Unclear.
Interpreter: On the monetization front, leveraging further optimization  competitive strategies and ad product offerings for key industries. Our total revenues reached $607.4 million in first quarter, an increase of 30% year-over-year. Advertising and marketing revenues raised $537.6 million, an increase 29% year-over-year. 93% of our ad revenue came from mobile. Our non-GAAP operating income in the third quarter rates $248.7 million.
Gaofei Wang: 
Interpreter: Now let me elaborate our progress made in the areas of product and monetization in Q3.
Gaofei Wang: 
Interpreter: Driven seasonality effects of summer break and Olympics. Weibo's user scale and traffic both reached record high in July and August.  back seen during the pandemic operating March last year. As for September, we will typically see a fallback in traffic naturally due to the back-to-school seasonality.  Well, for this September, in light of  on the entertainment sector, we have also stepped up our compliance efforts and revamped relevant product offerings accordingly. As a result, we followed pullback in traffic from the July and August level, as well as slowdown of user growth on a sequential basis. In the meantime, we also revisited our products and operations to further conform to regulatory requirements.  To elaborate, we cooperated closely with our partners in the entertainment industry, to highlight celebrities' work such as TV series and variety shows, as opposed to celebrities themselves, in the hope of fostering a healthier entertainment ecosystem. We also refined our health trends-mechanism so as to build out a more constructive ecosystem around health events in the long run.
Gaofei Wang: 
Interpreter: On the channel front, with headwinds in certain verticals, such as the crackdown on education, the overall user acquisition price has been on descending trend due to less market competition. Coupled with Weibo's competitive edge and channels, our channel cost per user has further decreased.  Meanwhile, we are also pleased with better retention rate of user acquired through channels, leveraging improved synergy between channel investments and subsequent product usage. To elaborate, we made progress in optimizing our targeting mechanism and that so acquired an incremental number as high quality users.  In the meantime, we continuously improve subsequent content consumption experience, and optimize user recall strategy, driving organic cars and consumption from China users. In the third quarter, we step-up cooperation with major channel partners, such as headsets, mainly manufacturers and operators, in the area of social features and health trends.  In September, the number of users acquired from China investments increased substantially compared with June. We're well positioned to further enhance our competitive edge on user acquisition. Leveraging gradual normalization of compensation on a channel fronts. As well as steady improvements in engagement trend of users acquired through channels.
Gaofei Wang: 
Interpreter: On the product front, I'd like to share with you our key initiatives on Weibo's information season video.
Gaofei Wang: 
Interpreter: For information feeds, our primary strategy in 2021 is to solidify the competitive edge of Weibo's key social features and core functionalities. And such drive users statements and inactions allow Weibo's core user groups. In the Third Quarter, we further strengthen the data mining and distribution of quality social content, and hot trends, as well as step-up traffic support quality accounts.  On product features, we focus on amplifying content distribution to stand and facilitating social relations build-out on our users. So as we improve content consumption experience and social attributes.  Taking Tokyo Olympic Games as an example, Weibo demonstrate its strong platform positioning in combination of hot stands and social features, underpinned by our advantage in real-time on peak update, public discussion, and viral distribution, as well as strong engagement from athletes. Olympic Games-related topics generated over 400 billion views and 170 million discussions on our platform. A phenomenal performance among domestic platforms. As a result, both our user and traffic reached a record high in July and August.  Looking ahead, we will further reinforce our health trends plus social interactions playbook, which features a systematic operation approach that integrates 1. media reports, 2. celebrity, and KOL discussion and distribution, 3. As well as social interaction among users. 4. We will also beef up our product features and 5. Speed distribution and thereby further uplifting Weibo's comparative edge
Gaofei Wang: 
Interpreter: Moving on to videos. In 2021, we focused on accelerating the content video admiration for Weibo's content creators through our video accounts programs, and self-increased media content generation and consumption. Meanwhile, we emphasized on cultivating users mindsets of using Weibo for video consumption through content operation in key verticals.  Leveraging ongoing progress made in our video accounts program, we're pleased to see the further visualization trend among content generators. As of September, the number of registered video accounts that past this 20 million mark This quarter, we focused on several key verticals such as fashion and beauty, gaming and sport, to cultivate users mindset towards video consumption.  We also entice video comment generator in these key verticals, through our incentive programs, while optimizing the recommendation model and their key scenarios, to enable video common creators with right community vibe to reach users more efficiently. Thanks to improving video ecosystem and Olympic effect. The quarterly average review views and time spent in Q3 continue to grow from Q2.  On live-streaming, we'll leverage our joint mic live streaming products to attract users with our real-time Olympics updates, and build a highly engaged community vibe. During the Olympics season, we are delighted to see over 50 athletes, hundreds of KOLs, and multiple public media outlets participate in our joint Mike LIVE, generating lots of health topics, for viral distribution and discussion.  From the product perspective we kept to optimizing user experience, and enhancing the social and consumption features of our live-streaming products, laying a solid foundation for the upcoming IP-based joint Mike LIVE streaming.
Gaofei Wang: 
Interpreter: Next, let me give you an update on the content verticals. In third quarter, we witnessed a tightly regulatory environment, for the overall entertainment sector. Notably, government authorities issued a series of rectification measures on film, TV series, and variety shows, as well as fan culture.  In the short run, we will expect certain impact on traffic from the entertainment and news information verticals. That said, leveraging our continuous investment to enrich content verticals, we could mitigate such impact by fulfilling users diversified consumption need on other content verticals. A good example would be the gaming and e-sports vertical.  Since last year, Weibo has beef up its investments in various areas in the sector, and strengthened partnership with game developers, eSports tournaments, gaming KOLs and hosts, as well as started our own eSports pit. The game vertical has now become one of the top content verticals besides news information and entertainment, benefiting from strong social distribution and large engaged Gen-Z user groups.  For instance, during the recent League of Legends season 11, relevant topics generated us over 100 billion views and 16 million discussions in total. As a result, our traffic also reaches peak since Tokyo Olympic Games on the final day of the season 11 tournament. Additionally, Weibo has also proactively in ratio our offerings around eSports sector, including investing and starting several eSports team, organizing a series of eSports tournaments of popular games in the market.  With investments in upstream and downstream around the gaming and eSports sector. Weibo is well-positioned to better race young users, and improved their engagement, which will boost the monthly issue for gaming sector in the long run.
Gaofei Wang: 
Interpreter: Now let me share some color on our monetization strategies and of progress made this quarter. In 2021, we have further strengthened the competitive edge of our social ad products over the 5-hour industry-specific marketing capabilities, and enhanced our potential and efficiency of traffic monetization. So as we improve Weibo's monetization scale and market competitiveness.
Gaofei Wang: 
Interpreter: On the industry perspective, our ad revenues increased 29% year-over-year in the third quarter, despite that the deceleration or even cut back s of aspects from certain industries that's facing macro or regulatory headwinds. We are delighted to see revealing growth in key verticals, such as cosmetics and personal care, food and beverage, and sweet tea products.  benefiting from improvements in our service capabilities. Meanwhile, our strategic focus on sectors such as gaming and apparel also paid-up, has defied by decent growth seen in these sectors.  As we strengthened the synergy between our user and ad product, to further enhance the monetization efficiency as our organic traffic and our performance. Our flip side, a few sectors book a notable decline due to regulatory headwinds, such as education and entertainment. Ad budget did decline from the entertainment industry, could be temporary due to the cutback on the demand side amidst pricing policies in the sector, which should gradually come back following the normalization in gradual release as blockbuster shows. However, it will be a different story with the education sector, as the crackdown on the industry's ad demand seems irreversible currently.   recent policies and the industry trends. We have proactively adapted our go-to market strategies and adjusted our sales structure. Looking ahead, we will beef up our efforts to reach and serve customers in those promising sectors, such as the new consumption economy. So as  there's specific marketing needs in the longer-term.
Gaofei Wang: 
Interpreter: On ad product brands, we're focused on mainly 2 things in the third quarter; 1. we continue to reinforce Weibo's competitive edge in branding plus performance ad offerings. Leveraging the  celebrity KOL, and treasure box ad offerings. We showcased strong ad performance to our customers during major events and their prime campaign window.  For instance, during the Tokyo Olympic Games, Oppo mobile Company GEC, leveraged athletes  influence to build hype and relevant topics went viral on the platform, reaching nearly 200 million views and generated over 12 plans traffic value, compared with our traditional commercial placements. Second, we'll continue to optimize our feed ad offerings, notably on a full funnel convergent models from front to back end.  Specifically, for the gaming sector, we further reinforced the synergy between our ad offerings in the constant vertical operations, leading to heated discussion on newly loss gain, and build-out of social access. We have successfully tended this industry specific ad offerings to more on gaming client, which resonated greatly in the market. Taking the blockbuster IP game, Harry Porter as an example, we're leveraging strong IP feature and created a series of trendy topics.  These topics generated more than 6 billion views and a 5 million discussions in total. Enabling us to capture higher ad budgets from the client. Going forward, beauty and parlor success story with gaming industry. We will further explore an extended model to the e-commerce sector, while beefing up our investment in ad technologies around such ad products, was focused on the new consumption sector.
Gaofei Wang: 
Interpreter: In the second half of 2021, government also did beep up the overall regulatory efforts on Internet platforms and issued a couple of new policies, including rectifications, outbound culture, and celebrity ranking charts. Cyber security law, and personal information protection law, just to name a few.  The new set of regulatory framework imposes higher compliance requirements across the industry in terms of 1. products, 2. operation, and 3. monetization. As such, Weibo also devoted significant R&D resources to the compliance front. Furthermore, we're in regular communication with relevant government departments to better understand the policies and implementation guidelines so as to adjust our product and operations in a prompt way. For instance, talking about the recent bank culture rectification, Weibo has taken preemptive measures and issued guidelines to celebrity agencies and a fan groups actually half year before issuance of such policy. Upon implementation for a period of time, we have already seen fan interaction  towards a healthier path, allowing us to buffer and minimize the impact from the recent rectification.  Similarly, on the hall trends product, since the end of last year, we have proactively taken steps to lower the percentage of entertainment-related trends, which has come down as stabilized at around 25% of total trends. With diversified health trends, our health trends products is well-positioned to reach a wider user demographics.
Gaofei Wang: 
Interpreter: Lastly, let me reiterate on our positioning. Despite certain uncertainties and headwinds, we delivered solid progress and results in the areas of user traffic products as well as monetization in the Third Quarter. That said, we are indeed facing a year of change, where we have to navigate through many external evolvements. However, what doesn't change is our core positioning as China's leading social media platform.  We have always been steadfast in our mission to empower users to be heard publicly and connect with each other, as well as our commitment to a better society. We have demonstrated our indispensible value proposition in critical events, such as the recent flood in Zhengzhou city, and also during the evolving COVID-19 pandemic situation.  We are proud to serve our users and society in recording and discovering what's happening in the world for the past 12 years. With further optimization in our user experience in core features, Weibo will continue to be the go-to platform for users to 1. connect with each other, 2. discover health trends and 3. for customers to market effectively.
Gaofei Wang: 
Interpreter: With that, let me turn the call over to Fei Cao for financial review.
Fei Cao: Thank you, Gaofei Wang. Hello, everyone. Welcome to Weibo's third quarter 2020 month earnings conference call. Let's start with user metrics. In September 2021, we put MAU and averaged DAU reached $573 million, and 248 million respectively. Continuing to grow from prior quarter despite, the back-to-school seasonality and regulation.  Our annual basis, we added approximately 62 million MAU and 23 million DAU, a solid and net addition number, primarily driven by strong execution on channel on the video from. Looking ahead, we remain focused on executing against our user and the product strategies while navigating through changes in the regulatory landscape, leveraging 12 years of experience as a social media platform, as well as our indispensable role in serving public conversations.  Turning to financials. As a remainder, my prepared remarks will focus on non-GAAP results and all the comprises on a year-over-year basis, unlike otherwise noted. Now, let me walk you through our financial highlights for third quarter of 2021. Weibo's third quarter 2021 net revenue was $607.4 million, an increase of 30%. Operating income was $248.7 million, an increase of 39% representing our operating margin of 41%.  Net Income attributable to Weibo is $209.6 million, an increase of 37%, representing a net margin of 34%. Diluted EPS was $0.90 compared to $0.66 in the third quarter 2020. Now, let me give you more color on revenues. Weibo's advertising and marketing revenues for third quarter 2021, increased 29% to $537.6 million. Mobile ad revenue was $500.4 million, contributing approximately 92% of total ad revenue, up from 90% last year.  Weibo delivered a solid ad revenue growth underpinned by robust engagement trend during Olympics, strong sales execution and on ongoing ad optimization. We are delighted to see advertisers recognize the Weibo as the go-to platform, to build have based our industry's specific ad playbook during major events. In terms of revenue contribution, our top verticals were FMCG for AC products and e-commerce.  Weibo has gradually become the cornerstone of many advertisers in lease consumption sector by enabling them to connect with Generation Z user and for fulfilling their integrated of branding plus performance needs. In terms of growth, FMCG and 3C products continue to all perform, whereas entertainment and education verticals underperformed, mainly due to the regulatory we have here.  From ad product perspective, revenue contribution by product has great remained fairly stable, with promotive fees being the largest car d, followed by social display ad, and other ad offerings, such as Polandian chance and topics, amidst in countrywide rectifications on large  ads and the celebrity trend.  Our teams tries to mitigate that impact by rebalancing ad offerings, as well improving monetization efficiency, which resulted in decent growth for each of the broad product category. Also, we continue to see good traction with video ad and  to further drive its penetration, positioning as well for long run rate of growth.  As we head into Q4, the committee that would leverage our unique value proposition in the market and drive  track record over the years to capture a commercial  share of wallet, even though the fact that the overall advertising market could be challenging in many ways. In fact, short-term ad had more on the regulatory headwinds, facing the whole ad or head(ph) industry.  We are committed on what will be driving value for our customers in the long run, by leveraging Weibo's full spectrum of social advertising products. As revenues from Alibaba for third quarter decreased 29% to $20.8 million, mainly due to Alibaba's own conservative market strategies this quarter, as well as our progressive open app of ad inventory to other e-commerce platforms.  Last ad, our cooperation with Alibaba position us well to capitalize on the ongoing digitization trend, and jet value for brand, and the more terms on both platform. Value added service (VAS) revenues was $69.8 million in third quarter, an increase of 42%, primarily attributable to the revenue derived from interactive entertainment Company acquired in November 2020, while partially offset by a decrease of revenue from last streaming business.  Turning to costs and expenses. Total costs and expenses for the third quarter was $358.7 million, an increase of 25%. The increase was primarily due to step-up in marketing spend and higher personnel that needed the cost. Operating income in the Third Quarter increased 39% to $248.7 million. Operating margin was 41% up from 39% last year, exceeding our expectation.  We're pleased that which products operating elaborate achieved this quarter, as we continued to balance well between investments for growth and the margin performance. Turning to income tax and the GAAP measure. Income tax expense for the Third Quarter was $31.4 million compared with $30 million last year.  Net income attributed to Weibo in the third quarter was $209.6 million, representing a net margin of 34% compared to 33% last year. Turning to our balance sheet and the cash flow items. As of September 30th, 2021, Weibo's cash, cash equivalents and short-term investments totaled to $2.7 billion compared to $3.5 billion as of December 31, 2020.  The decrease was primarily resulted from investment activities we made and was partially offset by cash provided by operating activities. In the third quarter of 2021, cash provided by operating activities was $226 million, total expenditures totaled $8.3 million and depreciation and amortization expenses amounted to $14.1 Lastly, let's talk about our financial outlook.  We anticipate our fourth quarter of 2021 revenue to increase by 15% to 20% year-over-year on a constant currency basis. This forecast also reflects Weibo's current on the preliminary view and is subject to change. With that. Let me now turn the call over to the Operator for the Q&A session.
Operator: Thank you, ladies and gentlemen, we will now begin the question-and-answer session.  Please stand by while we compile the question-and-answer roster. Our first question comes from the line of Alicia Yap from Citigroup. Please ask your question.
Alicia Yap: Hi. Thank you. 
Interpreter: Thank you management for taking my question. First question is curious if management can share if there is any change of the Weibo behavior ever since the effectiveness of the personal information protection law, starting in November 1st. Second question is, overall advertising industry, actually, is facing macro and also regulatory
Alicia Yap: Challenges, and yet, Weibo has been able to maintain double-digit growth in the online ad revenue. Can management share with us the performance and growth rate for different industry vertical and how big is the macro impact, and how big is the regulatory impact on each industry vertical? Thank you.
Gaofei Wang: 
Interpreter: Thank you very much for your question. First of all, let me address the question related to the implementation of the personal information protection law. So overall speaking, this is actually a megatrend, not only happening and impacting China, but also the rest of the world as well.  Because after the implementation of the personal information protection law, we've been also having challenges in terms of our algorithm and also the fair competition, as well as the performances of our CSR as well, and also to the other companies. So that is to say that we need to emphasize more on the operation, as well as the compliance as well.
Gaofei Wang: 
Interpreter: And also in terms of Weibo, I like to give you two points. The first one is that Weibo has always been a public social media platform. So I'd like to know during the past, if any user has any questions or any suggestions, they were really feeling free to actually provide the feedback to us.  And of course that we will always being very much refrain from making the public -- the personal previous and also the other information with a very good protection. So that -- because of this impact, we are going to postpone or not thinking about going online for the features of -- the function of a feedback and also the other relevant functions.
Gaofei Wang: 
Interpreter: And also second is that Weibo has been operational in China for 12 years already, And during the past decades, we've been keeping a very close communication and collaboration with the government as well, in terms of all kinds of different details. As you all know that in this particular industry, Weibo is really a kind of more compliant Company versus the other peers as well.  Also this is a normal business operational environment for us to be really in regulated pretty much. We emphasized a lot on the self-discipline in terms of the data collected and also the other businesses operated.
Gaofei Wang: 
Interpreter: And also, before the implementation of this personal information protection law, we received already the guidance and also the trainings from the government to  the 1. Optimization, 2. Overall algorithm and 3. Also the personal information protection as well as 4. The data securities as well. We already had a very good communication with the government even before the implementation of this law.  And also of course, after the going live of this personal information protection law of course that we are going to face a further optimization adjustment as well. However, I believe that such a tight and stringent regulation sustainably is going to benefit not only Weibo, but also the whole industry.
Gaofei Wang: 
Interpreter: Okay. And also in terms of your second question, it is indeed correctly mentioned by you during the question that the whole industry, and also -- no, not only Weibo, but also the externalist are facing a lot of challenges since the second half of this year. But of course, having said that, Weibo still had a double-digit growth in the ad industry.  And of course, that was pretty much known due to 2 reasons. The first one is a much optimized ad sector and vertical structure as well as a very good and diversifies coverage. And second was because of the nature of Weibo's ads, which was social media oriented. Okay.
Gaofei Wang: 
Interpreter: And also, I'd like to actually talk about the 3 major industries that have been regulated pretty seriously during the past. So they were education and insurance as well as the entertainment industry, if you like. First of all, talking about the education, education vertical action accounted for very minor proportion of our total revenue, which was lower than 2%. But of course, if you're talking about K-12 s relevant education, this was even lower.  And of course -- second of all, we're talking about the finance, especially insurance industry. So we had a pilot run of this particularly collaboration with the insurance industry for the app replacement -- placements in April in Q2, actually. However, because of the poor user experience and also the other reasons we gave up on this  industry. And furthermore, talking about the entertainment industry, this is of course a very big contributor to our total revenue.  However, in the past, we were pretty much having a collaborative model based on the content instead of regarding those entertainment customers as our customers. So that is to say that even if we had stringent regulations on the entertainment industry, this hardly impacted our revenue. And also, this particular challenge wasn't as big as the other peers as well.
Gaofei Wang: 
Interpreter: And also -- second of all, talking about those verticals that have been badly and also worse impacted by this particular type regulation. They were automotive industry, as well as gaming. First of all, talking about the automotives and of course that -- we all know that the whole industry of automotives was declining, naturally, buy and sell. However, talking about the ad types that we provided to those customers in the automotive industry.  This was pretty much on the brand plus performance oriented. So of course that we're still maintaining a very good positioning in the budget pool of our customers in this industry. And also as I have already stated in the opening remarks, that Weibo has grabbed the opportunity very well in precisely especially the trend, that more and more ICE vehicles are turning to the electric vehicles and penetration of EV has becoming higher, so that we got a lot of the budgets of the new EV launch for our customers.  So we kept a flat performance in Q3 in this area. However, in the future, while the chip shortage issue has been resolved, we're going to see a very good recovery of our leading position in this industry vertical. And of course, the lastly, I know talking about the gaming, of course that we had the regulation over non-adults in this area.  However, as I have stated, we successfully knock out the trend of the popular eSports games and also catch a lot of opportunities for the launch of many new popular games. So we really gain a highly recognition from the gaming industry in terms of our ability of doing business with them. And also you can see that the percentage of this particular part of the new business has been increasing over time. All right.
Gaofei Wang: 
Interpreter: So owning more. And also lastly, I would like to comment on the other verticals that were not impacted by this regulatory and also the macro headwinds, especially FMCG and also the consumer electronics, etc. They were keeping a very good growth.  Of course that -- Weibo always emphasize on the strategy of having brand at plus the performance ad, as well as providing a differentiated strengths by leveraging a lot on the KOL s and also celebrities as well. So you can see that these kind of \ FMCG and consumer electronics industries were not impacted at all and also maintain a very robust growth.  So overall speaking, because of this optimized overall structure of our customers and verticals, and also part of the industries have been impacted by the macro environment and also the regulatory environment. However still, we had a very positive trend in Q3 and also quite optimistic about continuing this trend to Q4.
Operator: Next question comes from Ashley Xu from Credit Suisse, please ask your question.
Ashley Xu:  Thanks management for taking my question. My question is related to the regulation in the entertainment sector, especially about the record rectification about fan culture. Could management share more color about the impact on our user engagement and monetization. At the same time, you mentioned that we are investing in the eSports and gaming-related content. Could management share more color on our progress and future plans? Thank you.
Gaofei Wang: 
Interpreter: So first of all, talking about the fan capture. So as I have stated in the previous answer, we had a very good communication and also the relationship with the government even before the implementation of any regulation.  Actually, before the implementation of the policy, we are going to and have a better understanding of the details of implementation as well as the enforcement of this search on regulations. And also, accordingly adjust our behavior and also performance, and also operation.
Gaofei Wang: 
Interpreter: Okay. And also, second of all, 1 or 2 years ago, actually, we already witnessed a negative impact of this fan culture to the whole ecosystem of Weibo, and also the whole industry. We have adjusted quite actively the announcement of the community.  In the first-half, if you've noticed that in the adjusted announcement -- community announcement, we're already said that we have forbidden and all kinds of the release of the third-party information and also the relevant call for and supportive messages sent by the fans as well.  And also, these kind of measures that we proactively take or took had a very good buffering effect on this times regulatory change so that we have been reducing the impact to our traffic to the minimum level because of this deterioration. And also in Q3, where we see the real implementation of the detail rules.  And of course our, for example, we have been a change in actively the kind of management of the celebrity agencies, as well as the fan groups. And also, try to manage more tightly in terms of those contents of television and movies, etc. And also, we had a very good adjustment over the super topic. And also, the ranking of celebrities etc. okay.
Gaofei Wang: 
Interpreter: And also I would like to say that in recent years, we've been seeing the development of the entertainment industry more towards the top notch phenomenon, which was pretty much in focus on those top celebrities and also the top shows and also the programs. However, Weibo is still by its nature, is a social media instead of a pure media.  If we follow this particular trend, this is going to be detrimental to our diversification of our content and also going to harm the environment of the interaction between the fans, as well as the celebrities and also between the movie lovers and also the programs as well. So that is to say that in recent years we can see that it is already very obvious trend that the entertainment related topics are just tried to rely very limited number of variety shows and also a few celebrities on the top ranking.  So, in the past several years, we've been already noticing that, and also try to diversify the contents related to all kinds of different programs and variety shows, and also creating a very diversified and rich discussion and also the interaction as well. As I have already said, of course, the whole industry is taking measure. For example, by collaborating with the video content platform as well as the TV, radio stations.  In the next several years or next year, we are going to try to launch more content related to all kinds of different movie and also the other programs and reality shows as well and also the TV station is going to do that as well. So we are going to emphasize on the collaboration's with those entities more, and also try to build a very good and healthy environment for the interactions.
Gaofei Wang: 
Interpreter: And also lastly, talking about the eSports. So as we have already said, during the opening remarks that we had a huge investment into the gaming industry. And, of course, that is making this gaming vertical, one of the biggest verticals in Q3 against the others. For example, entertainment and also the traditionally and the strong vertical in Weibo.  You already see a very beautiful figure on the number reach on the topic of League Legends Season 11's final, and also of course that we are heavily investing into building teams, and also organizing the tournaments of the eSports of popular games. So you've been seeing a very good data and also figure in terms of the development because of the investment that we have conducted.  But of course, like the entertainment, gaming industry is a very complicated and also a very big industry, big take. So actually we are still in an infant phase of still continuing our investment. Of course, that -- like the other industries, of course, our strategy for the game industry is to collaborate with the famous IPs, and also collaborate with the famous tournament and also eSports event, and then also try to cooperate with those celebrity team members and also those famous teams as well.  So, I really believe that we're gonna have a much better operational model and operational efficiency compared with our peers. So, at the end of the day, we're gonna try to diversify the content that Weibo really provides to attract more high-value users. All right.
Operator: Thank you. Our next question comes from Alex Ko from Morgan Stanley. Please go ahead.
Alex Ko :  Thank you management for taking my question, and congrats on the solid results. We mentioned regulations on advertising industry last quarter, including the launch screen ads, IDSA policy implementation. Can management share the latest observation in third quarter and fourth quarter? Help us quantify the impact on Weibo ads and the measures we have taken to navigate the impact.. Thanks.
Gaofei Wang: 
Interpreter: And also, first of all, definitely speaking, I think that in Q3 and also Q4, we had a very good momentum for this ad particular business, not only because of our very optimized structure of our customers, but also because of very good portfolio of our product as well as the nature of Weibo as a social ad platform.  So first of all, of course, talking about the open screen from ad or the splash ad actually in the first-half, definitely speaking, we had a more stringent regulation over the apps. Launching the splash ads. And that did impact the whole industry. But of course, seeing from the data and also statistics, you can see that in Q3, this particular revenue as you know slowed down its growth rate.  And the month-to-month growth rates was only single digital, which was lower than the industry, the whole ad revenue growth. And of course, that was majorly due to the lowered down quick rate on this particular splash ad. And also that did impact part of our performance oriented kind of an ad customers.  But of course, having said that, still, because of the very good ability of Weibo in terms of our customer and the brand access, those budgets from those impacted customers never leave Weibo. Meaning that we successfully transfer their budget from the Splash ad to other areas like utilizing the information seed, and also the hot trend surge and also the other relevant products as well.  And also, especially during the Double 11 Festival, we've launched several new products and also try to increase the click rate by several folds. And that really no increase the demand from our customers. Okay.
Gaofei Wang: 
Interpreter: And also, second of all, related to IDFA, of course, that -- since the launch of IOS 15 in Q3, IDFA related details have all been implemented and also landed. Of course, that did impact a lot of the peers in this industry. However, in talking about Weibo, we did not have that large impact in Q3.  That was because I'm talking about our customers, the reason for them to collaborate with us on their ad placement was not only because of a higher precision, but of course, more are focusing on the marketing effectiveness as well as the information dissemination. For example, for many game developers, they try to collaborate with Weibo while they launch their new games, and not only because of higher and better position, but of course tried to disseminate this  information of the new game as far as possible.  So that is to say, of course, in Q2, we already started to support to the Apple official as key at network attrition strategy. So that was very good effectiveness that improved the final results of this particular business and also tried very well to enlarge our market share at the end. Okay.
Gaofei Wang: 
Interpreter: Lastly, in conclusion, of course that -- we did see and witnessed such a bad impact on the whole advertisement industry, because of this regulation of the IDFA as well as the open-up screen related ads. Of course, that these kinds of an O2 regulation really know how to seriously impact on those apps that depended on loan on the splash ad, or depended a lot on the position marketing strategies.  But of course that Weibo is social media platforms that emphasize a lot on the social nature of advertisement placement. So of course that we really cover the whole chain from the exposure in first-time all the way till the final conversion and transfer of the customers. And also really we emphasized a lot on the brand plus performance strategy. Such kinds of single directional crash certain type of a product; will never impact very heavily on our overall business.  And also, thus, as a result, make some of the customers leaving our Company or stop the collaboration or given the budget to us, no. As an also yesterday as the interim results. I mean, the Q3 or result announcement made by Tencent also talk a lot about this particular point, which is a social ad platform.  Of course -- that we do provide all kinds of other products to our customers and also help them to really boost the consumer exits because of the other innovative products. Of course, having said that still, we need to invest a lot into more products, R&D, fashion, and also cost of goods sold as well. So of course, in conclusion, definitely speaking, we are going to further leverage our advantage as a social media platform to enhance more the collaborations with our customers.
Operator: Thank you. We have reached the end of the question-and-answer session. I'll hand the call back to the management team for the closing remarks.
Interpreter: Thank you for joining us today. See you next quarter.
Operator: Thank you, ladies and gentlemen. This concludes our conference for today. Thank you for participating. You may all disconnect.